Operator: Thank you for standing by. My name is Greg, and I will be your conference operator today. At this time, I would like to welcome everyone to Kforce Q1 2025 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Joe Liberatore, President and CEO. Joe, please go ahead.
Joe Liberatore: Good afternoon, and thank you for your time today. This call contains certain statements that are forward-looking, are based upon current assumptions and expectations and are subject to risks and uncertainties. Actual results may vary materially from the factors listed in Kforce's public filings, and other reports and filings with the SEC. We cannot undertake any duty to update any forward-looking statements. You can find additional information about our results in our earnings release and our SEC filings. In addition, we have published our prepared remarks within the Investor Relations portion of our website. Like many others, we entered 2025 with a general sense of optimism for the U.S. economic growth with the expected derivative benefit being a boost in our clients' confidence in accelerating investments in technology initiatives that have been deferred for the last several years. The signs of a slowing mid-Q1, followed by the announcement of significant tariffs for which outcome and impact remains unclear, reintroduced many uncertainties into the U.S. economic outlook. The general tonality, as we sit here today is that the earlier optimism has waned to a degree and the macro uncertainties have increased, which may delay in acceleration of investment for many companies. With that said, the macro uncertainties have not resulted in a deterioration in our business. In fact, over the last six weeks, our consultants and assignments have improved, and our front-end KPIs have been elevated compared to first quarter levels. We are cautiously optimistic about the level of demand we are seeing against this more uncertain backdrop. As to our first quarter performance, it was generally consistent with our expectations. Regardless of the ultimate environment, we believe there remains an increasingly strong backlog of strategically imperative technology investments. We continue to be well positioned to take additional market share, as we have been doing successfully for years, and continue laying the foundation to generate significant long-term returns for our shareholders. We are fortunate to have made the strategic decision more than five years ago to focus on the commercial space and divest our federal government business such that we no longer have any direct business with the federal government and limited indirect exposure through the support of our larger system integrator clients. As we look ahead to the second quarter, and the remainder of 2025, has been the case over the last few years, we will continue to stay close to our clients and monitor our key performance indicators and make any necessary adjustments to our business while continuing to invest in our long-term strategic priorities with a keen focus on the retention of our most productive associates. Our motto continues to be control what we can control. Our teams have continued to persevere and make the necessary adjustments within the business while we also have continued to make significant investments in critical initiatives that will provide a great foundation moving forward, positioning us to return higher levels of profitability as revenues inflect. We continue to make significant progress with the implementation of Workday as our future state enterprise cloud application for HCM and Financials. The go-live of this technology platform is expected in early 2026, and we expect to begin to generate immediate efficiency gains that will continue to improve as we rationalize the new platform. We also continue to evolve our nearshore and offshore delivery capabilities with our India development center, and further integrate all the firm's capabilities across the full spectrum of our service offerings as One Kforce. Each of these strategic initiatives are transformational in nature and will be meaningful contributors to us meeting our financial objectives. AI continues to dominate the headlines. As we have previously articulated, over the long term, we believe that AI and other innovative technologies will continue to play an increasing role in powering businesses. We are ideally positioned to meet that demand and continue to see an increased focus of AI foundational readiness work in areas such as data, cloud and modernization, along with AI projects in our consulting-oriented engagements. Internally, we expect to benefit from the future leverage of AI, and in that regard, are extremely fortunate to have made the strategic decision to concentrate our platform technologies with Microsoft and Workday. We have accelerated our investments in these technologies by acquiring enterprise licensing of Office 365 copilot and Sales copilot from Microsoft. We are taking active steps within the firm to provide these important productivity-enhancing technologies to all of our associates and leaders. We have built a solid foundation at Kforce and will continue to make the necessary investments to transform our business. Our domestically focused organic growth strategy continues to benefit our organization by eliminating any unnecessary distractions for our people so that their full energy is directed to partnering with our clients to help them solve their most important business challenges. Before transitioning the call, I wanted to reiterate how proud I am of the performance and resiliency of the collective Kforce team. We are blessed to have a high-performing organization that is united, tenured, dedicated and passionate. I cannot be more excited about the future of Kforce. Dave Kelly, our Chief Operating Officer, will now give greater insights into our performance and recent operating trends. Jeff Hackman, Kforce's Chief Financial Officer, will then provide additional details on our financial results as well as our future financial expectations. Dave?
Dave Kelly: Thank you, Joe. Total revenues of $330 million declined 4.7% year-over-year on a billing day basis. Revenues in our technology business declined 5.2% sequentially, and declined 3.5% year-over-year per billing day. We didn't see a typical recovery in the first quarter. Normally, consultants and assignments decreased in January as year-end projects are wrapped up, and then gradually increase during the last two months of the quarter. This year, we actually saw slight declines mid-quarter due to higher-than-expected assignment attrition, which mirrored the temporary of economic expectations. Headcount levels did begin to increase in late March, and that improvement continued into mid-April. Though uncertainty remains, mission-critical initiatives continue to be prioritized by our clients. However, given the macroeconomic uncertainty, clients appear to be awaiting a period of increased confidence before more aggressively adding resources to address the significant backlog of other important technology initiatives. Our technology service offering has significantly evolved over the years, expanding beyond traditional staffing assignments to encompass more consulting-oriented engagements. Clients continue to prioritize cost-efficient access to highly skilled talent and view our services as an effective solution to meet their technology project requirements, leveraging our superior delivery capabilities. The demand for our consulting-oriented offerings has continued to significantly contribute to our results. This growth underscores our ability to adapt and meet the evolving needs of our clients. While our traditional staffing business has experienced year-over-year revenue declines, growth in solutions-oriented assignments highlights our strategic shift in the increasing value clients place on our consulting capabilities. Our integrated strategy leverages all aspects of the firm's capabilities to meet the needs of the world-class companies we serve. An increasingly important aspect of providing cost-effective solutions is our ability to source highly skilled talent from outside the United States. Our development center in Pune India positions Kforce well to compete for client opportunities that were previously unavailable to us. This development center, combined with our robust U.S. sales and delivery capabilities, and a high-quality vendor network, allows us to comprehensively address the evolving needs of our clients, whether onshore, nearshore or offshore. Overall average bill rates in our technology business of $90 grew slightly sequentially and on a year-over-year basis, continuing a trend of stability that has persisted for nearly three years. The consistent demand for highly skilled talent in both traditional staffing assignments and consulting-oriented engagements has played a crucial role in maintaining stable bill and pay rates. This demand is driven by clients' need for expertise in specialized areas such as AI and machine learning, application engineering, cloud, digital, data and cybersecurity. Our ability to source and provide top-tier professionals who can address complex technological challenges has ensured that our services remain indispensable, even as overall industry trends have slowed. Our core competency lies in sourcing quality talent at scale for our clients, adapting to the evolving demand for various skill sets. We anticipate this trend to continue as clients increasingly rely on us to provide data and digital resources to support their data rationalization and cleanup activities, which are critical to their AI investments. We have relationships with the largest providers in this space, including Microsoft and continue to strengthen our partnership models with these companies. As technology has evolved over the decade, we've efficiently adapted to the changing skill set demands of our clients, ensuring we remain a trusted partner in their technological advancements. Our client portfolio is diverse and is predominantly comprised of large market-leading companies. Our focus on addressing their needs continues to be critical to our ability to drive sustainable, long-term above-market performance. The retail and transportation industries outperformed sequentially in Q1, while we experienced downward pressure in the relatively modest footprint with large consulting companies supporting the federal government, as well as in financial services. Our footprint is focused on supporting very large clients, all of whom have different needs. As a result, it's typical to see both increases and decreases in revenue for clients within the same industry vertical, which has been the case in financial services. Given our size and scale, it's difficult to extrapolate our performance with overall industry trends. Looking forward to Q2, we expect modest sequential growth in our technology business. Flex revenues in our FA business, currently 6.1% of our revenues, declined 22% year-over-year on a billing day basis. Our average bill rate of approximately $52 per hour improved slightly sequentially and year-over-year, and is reflective of the highly skilled areas we are pursuing. We expect Q2 revenues in F&A to be down sequentially on a billing day basis in the mid-single digits. An area where we have seen a more significant impact from the economic uncertainty is in our Direct Hire business, which represents approximately 2% of overall revenues. After a reasonably strong first quarter, activity slowed in early April, and we now expect Direct Hire to decline sequentially in Q2, in what is typically its strongest quarter. We continue to make adjustments to associate staffing levels based on productivity expectations, focusing on retaining our most productive associates and making targeted investments to ensure we are well prepared to capitalize on market demand when it accelerates. Over the past three years, we selectively invested in our sales teams while rationalizing our delivery resources, which have decreased by close to 40% over that time. Despite these reductions, we believe we have ample capacity to absorb several quarters of increased demand without adding significant resources. Additionally, we continue to invest in our consulting solutions business. Our performance in the first quarter continued to outpace that of our competitors. We remain tremendously excited about our strategic position and our ability to continue delivering above-market performance in our technology business as we have for well over a decade. The success we achieved as an organization is a testament to the unwavering trust that our clients, candidates and consultants place in us. I'll now turn the call over to Jeff Hackman, Kforce's Chief Financial Officer.
Jeff Hackman: Thank you, Dave. First quarter revenue of $330 million was at the low end of guidance and earnings per share of $0.45 was slightly above the low end of guidance. Overall gross margins decreased 30 basis points sequentially to 26.7% due to a seasonal decline in Flex margins of 50 basis points, resulting from usual payroll tax resets, which was partially offset by a higher mix of Direct Hire revenues. On a year-over-year basis, overall spread and business mix have been stable, though gross margins declined 40 basis points due to higher health care costs. Flex margins in our technology business decreased 40 basis points sequentially due to seasonal payroll tax resets. Flex margins and Technology declined 40 basis points year-over-year as higher health care costs were partially offset by a slight improvement in bill pay spreads. This spread increase of 10 basis points is attributable to the continued demand for highly skilled talent, and a higher mix of consulting-oriented work. As we look forward to Q2, we expect Flex margins to increase sequentially due to the alleviation of seasonal payroll tax resets, while remaining stable otherwise. Overall SG&A expenses as a percentage of revenue of 22.8% were within the range of our expectations as we have continued to manage productivity and profitability levels well. While we experienced higher health care costs in the first quarter, those costs were offset by leverage gained from continued refinements in our head count and lower performance-based compensation, given slightly lower financial performance. We are continuing to make targeted investments in our sales capabilities, while tightly scrutinizing spend in all other areas of our business. We also continue to advance our enterprise initiatives, including the implementation of Workday, the maturation of our India development center, and further integration of our solutions offering. All of which are expected to significantly contribute to our longer-term financial objectives and prepare us well for when companies more aggressively invest and their technology initiatives. We expect 2025 to be the final year of significant net investment in these initiatives and for them each to begin providing meaningful and growing returns as we move into '26 and beyond. Our operating margin was 3.5%, and our effective tax rate in the first quarter was 26.4%. During the quarter, we accelerated our share repurchase activity returning in aggregate of $28.3 million in capital to our shareholders through dividends of roughly $7 million, and share repurchases of approximately $21 million. Given the level of repurchase activity, outstanding debt at the end of the first quarter was $65.5 million. We continue to carry a very solid balance sheet and historically conservative leverage against trailing 12 months EBITDA levels. We have continued to be active in repurchasing our shares in April and have significant remaining availability under our credit facility. Operating cash flows were $0.2 million, which were lower than usual, primarily due to timing of payments from our clients and an allowable deferral by the IRS of our 2024 federal income tax payment into the first quarter. Our return on equity continues to exceed 30%. We continue to execute our organically driven business well and we believe our industry-leading relative performance is a result of our intense focus in technology staffing and solutions in the U.S., augmented by our nearshore and offshore capabilities. We continue to carry a pristine balance sheet with conservative debt levels and return significant capital to our shareholders. This consistent repurchase activity continues to be strongly accretive to earnings. We have returned approximately $1 billion in capital to our shareholders since 2007, which has represented approximately 75% of the cash generated, while significantly growing our business and improving profitability levels. Our balance sheet and cash flows allow us to remain committed to investing in our business, while aggressively returning capital regardless of the economic climate. Our threshold for any prospective acquisition remains very high. The second quarter has 64 billing days, which is one more day than the first quarter, and the same as the second quarter of 2024. We expect Q2 revenues to be in the range of $332 million to $340 million, and earnings per share to be between $0.57 and $0.65. Our guidance is based upon the assumption of the continuation of a stable environment and does not consider the potential impact of any other unusual or nonrecurring items that may occur. We remain excited about our strategic position and prospects for continuing to deliver above-market results, while continuing to make the necessary investments to help drive long-term growth and enable us to achieve our longer-term objective of attaining double-digit operating margins. As we mentioned previously, we expect operating margins to approximate 8% when we return to $1.7 billion in annual revenues, which is more than 100 basis points higher than when that revenue level was achieved in 2022. This improvement is being driven by the expected benefits derived from investments in our strategic priorities, which will drive down operating costs. Though we have seen recent slight improvement in bill pay spreads, our profitability expectations are not factoring in any additional meaningful benefit from further improvement in gross margin. On behalf of our entire management team, I'd like to extend a sincere thank you to our teams for their efforts. We'd now like to turn the call over for questions.
Operator: [Operator Instructions] It looks like our first question today comes from the line of Mark Marcon with Baird. Mark, please go ahead.
Mark Marcon: Joe and David, you mentioned the monthly trends that you were seeing, particularly on the Tech Flex side and really appreciate that. I was wondering if you could just give us just a little bit more color with regards to what you're hearing from clients? Obviously, it's an uncertain environment. But I'm wondering, are you hearing like a very firm commitment to sticking with existing projects and just basically delaying those that haven't started? Or are you starting to see any contemplation at all of potentially ending some already underway projects?
Dave Kelly: Yes, I appreciate the question, Mark. This is Dave. So yes, so to reiterate what we said, we did see some growth in the consultants on assignment in March and then through mid-April. Joe also alluded to some of our front leading indicators. Our KPIs continue to be strong. I'd also mention bill rates, so we're seeing in some spread improvement. So, I think, generally speaking, stable activity, stable environments, discussions and things that we're hearing from our clients. We have not -- I would contrast this significantly to maybe slower periods, in recessionary periods. We are not seeing clients canceling projects on us. It's very steady, as I think we articulated in the prepared remarks. Certainly, we are winning some new business. So, you're seeing that. You're seeing some natural project ends. You're just not seeing robust acceleration in some -- a lot of new initiatives, as we've been saying for a number of quarters. We see that pipeline. We continue to hear an eagerness of spend. But obviously, I think there's a fair amount of caution due to the uncertainty in the environment for clients to say, I'm going to go full board and spend. So more of what we saw at -- more of what we saw last quarter.
Mark Marcon: Okay. And then it seems relatively clear, but just want to 100% absolutely confirm this. It sounds like the guidance that you're basically providing, would basically suggest, relatively stable sequential trends on a go-forward basis through the remainder of the quarter and does it really contemplate -- maybe the environment gets worse and some clients decide that they need to cut back a little bit more sharply. Is that correct?
Jeff Hackman: Yes. And Mark, this is Jeff. Good to talk to you again this quarter here. I think Dave made a couple of points. I know we touched on this in his remarks, but mid-quarter in the February time frame, attrition levels ran a little bit higher than we had anticipated. The new assignments that we saw during the quarter were actually fairly consistent with what we expected. And I think it was in both Joe and Dave's scripts over the last four to six weeks, as we closed out the first quarter and started April, actually grew our consultants on assignment during that period. So that gives us a point, Mark, for guidance where, yes, from the remaining to-go period for the quarter, we expect stability from here on out. The growth that we saw in late March and April put us in a position where at the midpoint of our guide. Our technology business is up sequentially a little bit less than 1%. So yes, you are correct, Mark, that the assumption at the midpoint of the guide is stability for the remaining go period of the second quarter here.
Mark Marcon: And obviously, nobody knows exactly what's going to happen because nobody knows exactly where tariffs are going to end and we don't know where other countries are going to respond. But if things do get worse, what are some of the levers that you could pull on? Or how would you react if we started seeing some pullbacks in terms of existing -- in terms of existing projects?
Jeff Hackman: Yes. I think, Mark, the -- hopefully, you can appreciate over the last couple of years, obviously, in '23 and '24, revenues were declining in our technology business, just given the macro headwinds. We've been making, as an overall organization, the necessary adjustments. I think it was mentioned in Dave Kelly's prepared remarks that when you look at our overall delivery head count over the last several years, it's down close to 40%. We've been investing in our business from a sales role standpoint. So, I think, Mark, we're going to take a good hard look as we always do at our operating trends. We'll assess what we're seeing in terms of client visits, in terms of job orders and continue to make the necessary adjustments in the business, just as we've done over the last couple of years to make sure that we're returning a responsible level of profitability.
Dave Kelly: Yes. I'd just add to that. This is Dave. A couple of things, right. Jeff, is obviously talking about the sales and delivery folks. We have always managed the business quantitatively and have expectations for those people, and that's part of the reason why this percentages that Jeff quoted are where they are. Obviously, from a cost perspective, SG&A, we're always being prudent in making sure we're not we're not unnecessarily spending money. I think we've been very prudent on that. The one thing I would -- they'll continue to stress based upon where we are today and the strong cash that we're generating. We think about this business not just in the near term, but certainly in the long term and the long-term benefits. We touched on the Workday implementation. Critical for us to continue to invest to make sure that we bring that to fruition because I think Jeff has said in prior calls, we're looking at probably about a 1% improvement in operating margin after that goes live. We've also obviously wanted to continue to invest in those other strategic priorities that we have. Building our offshore capability, et cetera. So, we're thinking about this certainly being prudent in the near term but making sure that we've maintained focus on what the big long-term benefits we think that we need to generate our long-term agents.
Joe Liberatore: Mark, this is Joe. I'll add one piece because I think both Jeff and Dave kind of gave a good backdrop of how we look at this, managing the business internally. But I want to shift a little bit to the external to the client front. The majority of the work that we're focused on in our model today is what I would call strategically critical projects that organizations don't turn off. They can't turn off. I mean, obviously, they could turn them off, but I'll tell you, things would have to get pretty bad. We'll be in a whole different world, and I think how Kforce is performing would be the least of anybody's worries. So, my main point with that, we have not seen projects being cut short. We've seen projects bringing come to completion. We're not seeing a lot of trimming in and around the strategic projects. So, I think that that's an important piece. My main reason for sharing that is we would see probably less initiation of new projects, which gives us time to prepare and react to those situations. So, I don't think we get blindsided by anything. I just want to give that part of the story as well.
Mark Marcon: I appreciate that, Joe. And one last one from me, and then I'll jump back in the queue. Just in terms of the gross margins, Dave, they're holding in relatively steady. What are you seeing in terms of price competition just with regards to the traditional IT Flex staffing, not the consulting, but just IT Flex staffing?
Jeff Hackman: Yes. Mark, this is Jeff. I'll take part one and then Dave can add some color here. I think, Mark, as you look at our Flex margin spreads, specifically in technology. After the earlier declines that we saw in 2023, our spreads have been actually quite stable since that period of time. I think Dave mentioned in an earlier answer to a question on the average bill rate also being stable as well at roughly $90. I think you looked across that, Mark. I think we've been stable from an average bill rate standpoint now for the better part of three years. The margins have been very steady for the last couple of years as well. Of course, in the fourth quarter, and again, in the first quarter, we saw a little bit higher health insurance costs. I think that distorts the Flex margin lines a little bit. But I think encouraging for us that we continue to see the operational spread stability. Of course, we talked about the continued progress that we're making in our more solutions-oriented work. That work continues to have a margin profile that's 400 basis points or higher. So of course, as we continue to benefit from a higher mix of business in that space, that's also benefiting the overall margin profile for us.
Dave Kelly: Yes. And then just add a little bit further. It kind of goes toward Joe a minute ago about us seeing projects come to their natural conclusion. We're not seeing any extraordinary difference from that type of typical environment, right? We obviously -- and when we're talking about more of the traditional staffing engagements, we deal with a lot of large companies still looking from time to time to consolidate their list of vendors, looking for some concessions, still seeing that. But we aren't seeing any wholesale. Hey, you need to cut prices if you're going to keep business because we are under pressure, we being our clients to save money. I think that is, to me, a reflection of what Joe said. These guys are doing critical work. They need to have it continue to be done. We are still in an environment where high-quality technology talent is important to find and needs to be paid for. And they recognize that. So, we've seen stable bill rates to Jeff's point, we're seeing stable pay rates. So, I think a very typical environment. We're not seeing any rash decisions that companies are making.
Operator: And our next question comes from the line of Kartik Mehta with Northcoast Research. Kartik, please go ahead.
Kartik Mehta: I wanted to ask a little bit about capacity. Maybe, obviously, you've made cuts and obviously, you had to kind of restructure the organization with the current environment. And I'm wondering where you stand in capacity and if things get better, rather than worse, how much business could -- could you do without having to increase personnel?
Dave Kelly: Yes, Kartik, this is Dave. Good question. Maybe helpful to kind of pre characterize what we've done -- what we've done. I think Jeff had mentioned that delivery resources are down certainly. But I think important to note is we -- just kind of look at where we are today. The folks that we have on the sales side of the business actually from a number of people is actually slightly greater than it was back when we were doing $1.7 billion in business. Obviously, that -- those folks are in critical roles that are very relationship-driven with their clients. Tenure is very important. And frankly, that population in our organization is more tenured really than it's ever been. So -- and those people, obviously, because of the criticality of those relationships, are harder to ramp, right? And we've made comments in the past that is not necessarily the case in the delivery side of the equation. So, there's opportunity, and we've taken it to refine the number of resources we have there. We've enhanced the tools that they have to work with. That population typically can ramp very quickly. So, when you think about it, really the determinant as to what capacity is, is the sales capacity, right? And so, the fact that we've got the same number, and they're doing a lot more to get a sale today, as you would expect than they were during a very robust time and that would necessarily likely happen again. If you just kind of do the simple math, we probably have got just from that perspective, about 40% capacity. So, we are in no way in a place where we would fall short in meeting the needs of any of our clients from a sales perspective anytime soon. So, we feel very good about where we are.
Joe Liberatore: Yes. The only thing that I would add to Dave's comments is, we -- as I mentioned in my opening remarks, we are making some investments relative to Office 365 Copilot and Sales Copilot being that we're a dynamic shop, and we can integrate these things. And we're not baking in any assumptions in terms of any productivity lift from the investments that we're making in these tools that we'll be providing our people as well.
Kartik Mehta: And then just a follow-up. Just on the visibility, obviously, visibility today is a lot lower than it was. But if you try to compare it to when things were a little bit more normal, and you look at kind of visibility from a revenue standpoint, or project standpoint, how would you characterize? Or is there a way to look like, do you feel comfortable with about 60% of the revenue, or whatever KPIs you're looking at in terms of visibility?
Joe Liberatore: Yes, I would say, having been through multiple cycles, we're always monitoring similar KPIs, which are really our frontend indicators. They give us a good sense on what's to come. So, during uncertain times, during recessionary periods, during robust times, it's really balancing those things and monitoring those KPIs. We also monitor the ratios because the ratio is really what starts to move when you go into tougher times or when you go into more robust times, right? Your ratios typically improve during the good times and then during the tougher times, those ratios start to expand a little bit. So, we have -- we've spent years building out our internal dashboards. Again, we leverage a lot of Microsoft products on this front. So, our people have access to real-time information, and that's how we stay on top and run the business.
Jeff Hackman: And I think, Kartik, just to add a couple of points. I think the average assignment length in our technology business has not moved significantly. I know we haven't talked about that maybe recently, but that's still about 10 months. And to Joe's point, very metric-driven. And certainly, through these times where you've got a little bit more of the macro to pay attention to, we rely heavily on our field leaders and field associates to keep in tune with the clients and kind of drive us on what they are seeing in those conversations. And I think Joe and Dave, both mentioned it, we're not seeing clients take proactive measures to restrict or delay or cancel. So, in that regard, I think the visibility still is reasonably clear to us in that regard, so.
Operator: And our next question comes from the line of Tobey Sommer with Truist. Tobey, please go ahead.
Tobey Sommer: With respect to your own internal initiatives like the Workday, your capacity in India, is the time line for those projects -- how would you characterize it on schedule? In line? Behind schedule? How are you managing the completion of those efforts?
Dave Kelly: Yes. You mentioned those two, those are probably the most visible here, Tobey. This is Dave. Certainly, with respect to the Workday implementation, we refer to it internally as Gemini. That has, as we've mentioned, been a multiyear project to go-live that we're talking about in the first quarter of 2026 is an on-time delivery of that. And so, we've been kind of foreshadowing the expectation of what we would see with that and looking to 2026. So, feel very good about where we are. The team has been intensively working has done an exceptional job, and I've got all the confidence in the world and the team. So, I feel very good about that program. As it relates to our facility in Pune, India. Actually, more than on time, that's operational, right? We went live with that facility at the beginning of this year. So, we're about four months in. Very pleased. As we had mentioned before, that is built strategically to support our domestic footprint. We've already won a couple of projects there, and things are going quite well. We've built it with a reasonable degree of variable costs, but it can scale. And although we don't have a specific target of how quickly it will grow, because it will obviously be dependent upon how it supports the U.S. business. Again, that was a very well-executed project by a lot of people on the team here. Again, I couldn't be more proud of them as well. So, things are going quite well on all these key initiatives, of course.
Tobey Sommer: You mentioned health care a little bit higher in the quarter impacting gross margin. Is that utilization generally running higher? Is there something discrete in the first quarter that occurred? And what are you seeing so far in 2Q?
Jeff Hackman: Yes. I don't think it's anything -- Tobey, this is Jeff. Good to hear your voice here. I think health care, you remember from the fourth quarter and the first quarter of this year, Tobey, Health care costs ran a little bit higher. That's more of a claim severity than it is a volume-driven dynamic that you can look across the space with some of the health care providers as well, just a general increase in health care costs in addition to the severity. So, nothing that we would say is pervasive within the health insurance offerings themselves.
Tobey Sommer: Okay. That makes sense. And then you mentioned the indirect exposure that Kforce has to DC large system integrators. Could you discuss that a little bit more like, I don't know, size the exposure, which I think is relatively small and what you're seeing there? And also, maybe talk about financial services as a vertical?
Dave Kelly: Sure, sure. Yes. I could start by saying I wish I could give you some perspective on those industries per se. Our exposure, relatively speaking, is small, but I'll start with our exposure to government. I think Joe mentioned it, we obviously -- I know you know this, divested of our prime government contracting business, KGS about five years ago. And so pleased, obviously, in this environment, certainly to have done that. Had that well in our rearview mirror. And I would also mention, obviously, we've got a very diversified commercial portfolio, right. So, to your point, Tobey, in the government space, providing services to these integrators is certainly in the mid-single digits as the entire portfolio. And when you think about the percentage of the business that might be impacted by government, spending cuts, it's even a fraction of that. So really for us, the impact is nominal. So, as I mentioned, in terms of an industry bellwether as to what we're seeing, as I'm going to tell you in the financial services business, it is client by client. There are not huge amounts of clients. So, I would be -- I would be giving you information that's only partially informed to give you an opinion about the industry, but clearly, a small amount of business impact for us there. As it relates to financial services vertical. We've said in the past, this is our largest vertical. And I think I'd mentioned -- I know I mentioned in my prepared remarks that, that was off a little bit from Q4 to Q1. By the way, I've mentioned that after two quarters of sequential growth. As I had said in the past, obviously, we do business with very large institutions. And I can tell you, just looking at the portfolio, we had some actually that grew revenue for us. We had some certainly that had declines as well. So, on balance, the total dollars were down a little bit. But again, I don't think we are a bellwether and I wouldn't hang your hat on what industry trends are in financial services by our performance. So again, it could change quarter-to-quarter based upon project by project and client by client.
Operator: And our next question comes from the line of Trevor Romeo with William Blair. Trevor, please go ahead.
Trevor Romeo: One I had was, you've talked about the success of the consulting focused offerings, I think, even in this softer type of demand environment broadly. I guess, are there any common themes among the type of project work that clients are kind of still demanding to a large degree for your consultant type offerings? Or maybe asked differently, are there any specific types of projects do you think Kforce in particular, has kind of carved out a unique offering that's really resonated well?
Dave Kelly: Yes. So, Trevor, yes, I mean, we've organized this offering in a couple of different areas. But frankly, and we get quarterly updates from our team here. We've had pretty broad success even in the application engineering space, we're continuing to see growth, obviously, that is at the heart of a lot of our development work that we're doing. We're seeing advancements in the digital space. Obviously -- clearly, there's a ton of data and data rationalization work that's being done, obviously, in advance of a lot of company's AI efforts. And I think we're certainly seeing growing pipelines in Pimpri-Chinchwad in those last two areas. But frankly, across all of the KCS engagements in the cloud, the cloud is also a big area of focus. So those places where the engagement with the end customer, the use of the cloud is really important as well. As I've mentioned, all very strong. So, we're proud of that business as well, right. As we've mentioned, we've had good growth. That has been really the driver of our out-performance, I think, generally speaking, over the last few quarters, certainly.
Trevor Romeo: Got it. That's helpful. And then I guess I wanted to ask sort of an AI-related question. I know the long term view you have, and I generally agree that new use cases from AI will ultimately spur more demand. But just in terms of the near term, I guess, maybe there's some negative impact on certain roles. Maybe there's some new roles being created. I guess, are the new opportunities you're seeing now offsetting any of that near-term disruption? Or do you think one side of that is kind of moving faster than the other at this point?
Joe Liberatore: Yes. I would say, from what we're seeing, realizing who makes up our customer base, which are enterprise, Fortune 1000 organizations. What we're seeing pretty much across the board within that client set is AI readiness. A lot of energy being spent around data, around migrating systems to the cloud or preparing to migrate them to the cloud in and around. Digitizing the various systems, so that they're prepared as they start to build out their use cases. They have to have the foundation in place and the infrastructure. And so that's where we're seeing a lot of the energy. So yes. Are we seeing roles that are being created? I would say they're reshaping of existing roles were data scientists now are becoming AI engineer-oriented, or architect related roles. So, it's -- we're seeing the AI tied to a lot of rules versus what I would say is purely newly created roles. And that's just providing more opportunity for us to tap into those high-demand skill set areas. But it really -- the work that we are seeing coming through the pipe specific to AI is in and around the readiness, versus major implementations of a use case, especially within these Fortune 1000 organizations were data governance and a lot of other things have to be locked down, and they have to be in good shape to be able to execute per se, the implementation of a large use case.
Operator: And our next question comes from the line of Josh Chan with UBS. Josh, please go ahead.
Josh Chan: Maybe to quickly clarify on your comments about the environment. You mentioned leading indicators improving through April. I guess, I think it typically improves around this time of the year. So, I guess are you interpreting this improvement as fairly normal from a seasonal perspective, just from a magnitude angle?
Dave Kelly: Yes, Josh. Yes, just to kind of clarify what I said. So -- and I tried to give some color in terms of what happened in the first quarter, right? So typically, in the first quarter, as I mentioned, we see growth in the second two months of the quarter. We actually didn't see growth in the second month of the first quarter. So, we did see some growth in March that would be typical and into April -- into mid-April specifically. And that growth trajectory has flattened a little bit. So, I would say a traditional -- in a grow -- in a strong growth environment, you would see continuation of growth through the quarter, right? Part of the reason why is, as we've mentioned, obviously, the uncertainty that we're seeing in our guidance contemplates flat consultants on assignment from here through the rest of the quarter. So, as we're thinking about where we are in this cycle relative to what we would see typically in a strong growth environment, we haven't suggested that we're looking at a continuation of that.
Josh Chan: That's really helpful Dave. And then on the health care cost, I guess, are you guys thinking of those as relatively random or unexpected events? Or I guess at what point do you try to price through those health care costs into your bids to have that not be as big of an impact?
Jeff Hackman: Yes -- and Josh, this is Jeff. I think from a health care standpoint, I had mentioned that this is the second quarter that the costs have been a bit higher than we anticipated. That was preceded probably by three or four quarters where the costs were either consistent or a bit below what we had expected. So, naturally, Josh, as you can imagine, health care costs a bit difficult to predict. Of course, every year, we take a look at what the health care cost trends are and price it accordingly. Some quarters, you get a little bit, I'll say, unexpected surprise by some of the more severe claims that you just can't predict. But we do price in kind of an annual health care cost trend. So, hope that helps, Josh.
Operator: [Operator Instructions] And our next question comes from the line of Marc Riddick with Sidoti. Marc, please go ahead.
Marc Riddick: I want to thank you for all the color that you've already provided. You've already answered pretty much most of my questions. One of the things I was sort of curious about is maybe you could share some thoughts as to what you're seeing on candidate availability and whether that has changed much over the last few months, or if there are any particular areas where you're beginning to see things loosen up a bit? And maybe how you see things sort of playing out there?
Dave Kelly: Yes. Mark, I think the simple answer is in terms of candidate availability, it really hasn't changed materially at all over the course of, I would say, more than the last couple of months, right? Over the course of the last, I would say, certainly, nine months to a year, certainly. And I think maybe reflective of that is we're looking at stability in pay rates, right. So, no, I think -- the other thing I would say is this is what we do well, right? So, we are excellent, I think, at identifying the right candidates for the role, right? And so frankly, an ongoing question in good times and bad, how do you find the consultants? It's a lot to do with our people, it's a lot to do with our processes. So, it's not something that keeps us up at night, but no, we haven't seen any material change at all in candidate availability.
Marc Riddick: Okay. Great. And then last one for me, and you touched on this certainly during your prepared remarks as far as the share repurchase activity during the quarter. And I guess, it seemed to end into a little bit into April, which kind of lends toward the share count guide for 2Q. Maybe you could sort of share some thoughts there? I mean, obviously, it makes a lot of sense to take advantage of where the shares are, but maybe you could talk a little bit about that as well.
Jeff Hackman: Yes, Mark, this is Jeff. It's a good question that you asked. I think what you saw certainly from the first quarter, we got a little bit more aggressive with our share repurchase activity. Of course, the first quarter is traditionally the lower quarter of operating cash flows when you look across the full year, and because of that, we typically have a light amount of share buyback activity in the first quarter. As we looked across the space, and certainly, given the volatility that we were seeing, and where we expect and the confidence that we have moving forward as a firm, we got a bit more aggressive in the first quarter and wanted to be transparent with that activity continuing into April. So, I think when you look across Marc, and I did mention this in some of the prepared remarks. But since 2007, we've -- through dividends and share buybacks, returned about $1 billion in capital to shareholders. If you look across that, and that's about 75% of the cash that we've generated. So, the consistency that we've shown over a long period of time as a firm in getting aggressive and being consistent with our return of capital -- and I think I mentioned maybe last quarter that we've been returning capital and buying back stock before it was voted to do this. So, we're serious about it. And as we look forward, I don't see us changing course in this regard. Joe and Dave have given commentary about the organic growth strategy. That is the strategy that we believe is best for Kforce. And fortunately, we came into the year with a very strong balance sheet, and we're using it.
Operator: And that looks to be all the questions we have today. So, I will now turn it back over to Joe for closing remarks. Joe?
Joe Liberatore: Well, thank you for your interest and support of Kforce. I would like to express my gratitude to every Kforcer for your efforts and to our consultants and clients for your trust and faith in partnering with Kforce and allowing us the privilege of serving you. We look forward to talking with you again after second quarter 2025. Have a great evening.
Operator: Thanks, Joe. And ladies and gentlemen, that does conclude today's call. Again, thank you for joining, and you may now disconnect. Have a great evening.